Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to Tokyo Lifestyle's Fiscal Year 2025 Earnings Conference Call. [Operator Instructions] This conference is being recorded today, Thursday, July 10, 2025. If you have any objections, you may disconnect at this time. Joining us today from Tokyo Lifestyle is the company's representative, Cissy Wang. Before we continue, I would like to remind you that some information discussed on this call will contain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended and as defined in the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks and uncertainties. The company undertakes no obligation to update forward-looking statements to reflect subsequent occurring events or circumstances or changes in its expectations except as may be required by law. Although the company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that such expectations will turn out to be correct, and the company cautions investors that actual results may differ materially from the anticipated results and encourages investors to review other factors that may affect its future results in the company's registration statements and in its other filings with the SEC. With that, I would now turn the call over to Ms. Cissy Wang, the company's representative. Please go ahead.
Cissy Wang: Thank you, operator, and everyone, for joining Tokyo Lifestyle's Fiscal Year 2025 Earnings Conference Call today. On our call today, I will give an overall of our performance for the fiscal year ended March 31, 2025, followed by a detailed financial review of the company's results. In fiscal year 2025, we are pleased to report steady progress in our business growth and expansion in key markets like Hong Kong and North America. Our total revenue saw a robust growth of 7.4% for fiscal year 2025, mainly driven by the strong performance of our directly operated physical stores, franchise stores and wholesale customers. During fiscal year 2025, we continued to adjust our business layout to enhance resource allocation, improve operational efficiency and drive profitability. In response to market trends and increased competition in Japan, we optimized local operation by converting some directly operated physical stores into franchise stores to enhance cash flow and working capital, while also refining our product offerings. Consequently, our total stock keeping units increased to 201,300 SKUs during fiscal year 2025 from approximately 151,700 SKUs during fiscal year 2024, underscoring a significant growth in our product offering. In addition, revenue from new wholesale customers increased as the company continues to expand its customer base by establishing business relationships with new wholesale customers during fiscal year 2025. Meanwhile, our global market expansion progressed steadily. Notably, we successfully opened 5 new directly operated stores in the United States, Canada and Hong Kong, reinforcing our business footprint and enhancing brand recognition in these key markets. Overall, our revenue from directly operated physical stores increased by 14.4%. The expansion of our franchise and wholesale business lines also demonstrated steadily growth. We added 3 franchise stores and 54 new wholesale customers with revenue increasing by 9.1%, accounting for 88.3% of our total revenue during this period. We also remain steadfast in exploring new opportunities in emerging sectors such as collectable cards and trendy toys featuring products like Pokémon cards and BE@RBRICK, which attracts the latest fashion and the consumption trends among younger generations. Our offering in these new categories have grown to over 1,300 SKUs. And for the fiscal year 2025, our revenue from collectible cards and trendy toys totaled $11.4 million, representing 5.4% of our total revenue. During the past year, we were honored to receive a Gold Stevie Award in the Company of the Year - Retail Medium-size category at the 21st Annual International Business Awards in September 2024, underscoring market recognition of our long-term efforts and innovations. Looking ahead, we remain committed to driving sustainable growth and exploring new opportunities, while strengthening loyalty among our existing customers. In Asia and Oceanian markets, we are deepening collaboration with existing franchisees and actively seeking new partnerships to driving further development. Recently, we established new subsidiaries in Australia and plan to open new stores in Vietnam and Australia, laying strong foundation for our business expansions in these new territories. We also plan to enter the Middle East market by preparing a new store in Riyadh, Saudi Arabia. We believe these efforts will strengthen our global strategic layout and establish a more balanced market presence. We remain focused on our strategic priorities, strengthening our current market footprint, closely monitoring market trends and customer preferences, improving operational efficiency and profitability, optimizing our distribution network and commercial outlets and exploring new partnership opportunities. We are confident that these efforts will contribute to a brighter future and deliver greater value for our company and shareholders. Now I would like to share our financial results highlights of fiscal year 2025. Our total revenue increased by 7.4% from $195.7 million to $210.1 million for fiscal year 2025. During the period, our directly operated store contributed $17.1 million in revenue, representing a year-over-year growth of 14.4%. Revenue from franchise stores and wholesale customers grew by 9.1% to $185.5 million. This increase was mainly driven by our continued efforts in expanding product offerings. In addition, revenue from new wholesale customers increased as we continued to develop our customer base by establishing business relationships with new wholesale clients during fiscal year 2025. Income from operations was $4.7 million for fiscal year 2025 compared to $5.8 million for fiscal year 2024. Gross profit was $23.9 million for fiscal year 2025, representing an increase of 2.3% from $23.4 million in the previous year. Gross margin remains relatively stable at 11.4%. Operating expenses increased by 9.1% to $19.2 million, primarily attributed to increase in payroll, employee benefits and bonus expenses associated with business expansion as well as higher lease expenses for directly operated physical stores. Net income was $6.6 million compared to $7.5 million for fiscal year 2024, primarily due to loss from foreign currency exchange and a change in fair value of warrants. Basic earnings per share was $0.16 for fiscal year 2025 compared to $0.20 for fiscal year 2024. Diluted earnings per share was $0.19 for fiscal year 2025 compared to $0.20 for fiscal year 2024. As of March 31, 2025, the company had cash of $4.8 million and accounts receivable balance of $107.3 million due from third parties. Approximately 31.9% of this balance has been subsequently collected. The collection of such receivable has made cash available for use in our operational as working capital, if necessary. As of March 31, 2025, the company merchandise inventory balance amounted to approximately $4.4 million, which the company believes can be sold quickly based on analysis of the current trends in demand for our products. For fiscal year 2025, net cash used in operating activities was $0.6 million, net cash used in investing activities was $1 million and net cash provided by financing activities was $4 million. Looking ahead, we remain committed to enhancing financial performance through robust business strategies, disciplined cost management and strategic investments. We will remain focused on identifying new revenue streams and are confident that these efforts will drive sustainable long-term value for our shareholders. Thank you so much for joining this conference call. If you have any questions, please contact us through e-mail at ir@ystbek.co.jp or reach our IR counsel, Ascent Investor Relations at investors@ascent-ir.com. Management will respond to your questions as soon as possible. We appreciate your interest and support in Tokyo Lifestyle and look forward to speaking with you again next time.
Operator: Thank you, again, for attending Tokyo Lifestyle's Fiscal Year 2025 Earnings Conference Call. This concludes our call today, and we thank you all for listening in. Goodbye.